Operator: Welcome, and thank you all for standing by. [Operator Instructions] Today's call is being recorded. If you have any objections, you may disconnect at this point. I'll now hand the call over to Mr. Mark Oswald. You may begin.
Mark Oswald: Thank you, Lee. Good morning and thank you for joining us as we review Adient’s second quarter fiscal year 2018 financial results. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I’m joined by Bruce McDonald, our Chairman and Chief Executive Officer; Jeff Stafeil, our Executive Vice President and Chief Financial Officer; and Byron Foster, Adient’s Executive Vice President, Seat Structures and Mechanisms. On today’s call, Bruce will provide a business update, including a review of our Seats Structures and Mechanisms business, followed by Jeff, who will review the financial results in greater detail. At the conclusion of the prepared remarks, we will open the call to your questions. Before I turn the call over to Bruce and Jeff, there are few items that I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today, and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to Slide 2 of the presentation for a complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. This concludes my comments. I will now turn the call over to Bruce McDonald. Bruce?
Bruce McDonald: All right. Thank you, Mark, and good morning, everybody. Thanks for taking the time to sit in and go through our second quarter earnings results. There are a lot of information here to cover today, so I’m going to jump right into it. First off, you will likely notice within our release and our slide deck that the reorganization of the Adient's management structure that occurred in the second quarter resulted enough, despite to make a realignment to our reportable segment. So we'll now be showing three segments: Seating; Seat Structures & Mechanisms, or SS&M as we call it; and Interiors. We think, with the focus that we have on turning around our Seat Structures & Mechanisms now, this would obviously improve the transparency and then show a lot of numbers for this part of our business and through pretty transparent in our ability to track improvements on a go-forward basis. As a result of separating Seat Structures & Mechanisms into a new segment, we did take in that $279 million non-cash goodwill impairment charge in the quarter. So we'll adjust that out when we talk to our adjusted EBITDA numbers. Just going to go through the financials obviously here in a few minutes, but let me just call out a few on the top of Slide 4 some of the highlights. So our adjusted EBITDA for the quarter came in at $363 million, which is down on a year-over-year basis about $58 million. And that was more than explained by the year-over-year reduction in Seat Structures & Mechanisms. If you look at our earnings per share at $1.85 -- our adjusted earnings per share at $1.85 in the most recent quarters, you see that’s a lower level of operating performance dropped right down to the bottom line. Turning to our balance sheet and our liquidity. Cash at the end of the quarter was about $353 million, reflecting our second quarter operating performance, higher cash restructuring charges and unfavorable working capital movements, which we think are largely timing related. Our net debt and leverage at the end of the quarter was $3.3 billion and 2.3 times respectively. Our all the team has been laser-focused on stabilizing the SS&M business and positive progress was laid in the most recent quarter versus last quarter, we clearly review -- we clearly view these results as disappointing. In addition to having significant impact on our financial results so far this year, we've also concluded, after completing a comprehensive strategic effect on the SS&M business, that the 200 basis points of margin expansion that Adient has set as goal to achieve by 2020 is no longer going to be achievable. Turning to Slide 5, I'll just sort of remind the analyst community in terms of what our original targets were and how they were comprised. As we’ve made pretty good progress in terms of the SG&A reductions of 150 basis points, we have put in the growth investments, although probably going to be a little bit lower than that 50 to 150 basis points. But the 100 to 200 basis points of margin expansion by 2020, to achieve this in this timeframe would require a $600 million improvement in our Seat Structures & Mechanism business over the next 2 years, and that's just clearly not possible. Outside of SS&M, I'm pleased with the progress that we made on our margin expansion actions. Even though we are expected to reverse the $300 million setback that we've had so far in Seat Structures & Mechanisms by 2020, like I said earlier, we don't see ourselves getting a $600 million improvement, which is what we would need to do to get the 200 basis points of margin expansion. I'd like to give you the next couple of minutes updating you on the comprehensive strategic review of the SS&M business that was recently conducted and to some extent was still underway. I’m not saying we’re completely finished and we have all the answers, but we’ve made a lot of progress over the last three months. Turning to Slide 6. The objective of our strategic view are really [threefold]: First of all, to rapidly stabilize the business and drive near-term improvement. The team has made great progress in this area, evidenced by the approximately $40 million sequential improvement in our operating result in this segment. We expect to build on the positive momentum as we achieve here in the first quarter as we’ve progressed through Qs 3 and 4. Our second objective was to revisit the strategic importance of the business, basically stepping back and asking the question, “Does this business add value to Adient and its shareholders?” The review confirms our belief that this business is strategic to Adient for a number of reasons. First, it’s absolutely critical for us to be able to deliver complete business solutions for the customers that buy seats in that way. As you know we’ve talked about this in the past. Customers buy components. Some components buy direct and components. Other customers buy complete seats. We have a very strong market share that’s profitable for us with the Japanese OEM customers. Many of them buy complete seat. And so it’s critical for us to support almost a quarter of our consolidated business are Japanese customers by having this capability. Thirdly, as we think through around autonomous vehicles and new mobility solutions in the future, ride sharing, we think the metal structure part of the complete seat is going to critically important and we see a lot of evolution in the technology in this space. And then lastly, our business in China and lateral are just we started basically expansion 2012 is highly profitable generating significant value for shareholders, and we expect to see that to continue over the next three to four years. So you see good value creation in our metals business in China. With that said, however, we also highlight a fact that fundamental changes are necessary to ensure the business creates value for our shareholders in the future, and that takes us really to the third part of our strategic view, with transformation in a potential restructuring efforts are required to enable sustained long-term value creation beyond the 2020 timeframe. Before commenting on the actions that we’re taking here and what we’re doing to stabilize the business, I know we’ve had a number of questions about what went wrong. The simple answer is, a number of actions were put in place, put into motion based on anticipated market factors, planning assumptions to that type. Many of these assumption, including the [Indiscernible] growth and the ability to manage the change in this business with the benefit of hindsight were clearly overly optimistic. It’s important for us to reflect backwards in terms of the company, but right now our team is lasers focused on the future and what we’re going to do to turn this business around. On Slide 7, you can see a number of actions we’ve taken to already stabilize the business, and we’ve talked about some of these in our last calls. So basically we’ve put our all new leadership team in place in this business. We’ve implemented a reporting structure to drive and the accountability. We’ve reinforced our launch team and driven a renewed commitment to improving our business processes here. We’ve executed action plans to mitigate our deal supply risk. We set tiger teams to our w unprofitable plants to complement our plant leadership and drive rapid cost-down actions. And lastly, we’ve completed a comprehensive review of our targeted business risk and put in place clear boundaries centered on more selective participations, prioritization around strategic fit profitability in our [Indiscernible]. The chart on the right illustrates the progression of assets without the SS&M segment on an adjusted EBIT basis over the past several quarters. I think in our last call we showed numbers similar to this. These are restated to show our actual EBITDA on a segment basis. And so you can see here obviously a big sequential improvement in the second quarter of 2018. And now they have some toughest year-over-year comp. So as the business improves in Q4, you can see where we got the easier year-over-year comp on a go-forward basis. I’d encourage our investors to focus on the quarterly trend here versus the absolute dollars as we're in the early stages of a turnaround and things could be choppy. But nonetheless, we know we suffered a deep setback. We’re in the early stage of the recovery, and we're pretty pleased with the tracking of the improvement activities that we have in place right now. Moving to Slide 8. It became clear to us that as we move this business forward and generate longer-term value for us, a number of major changes need to be actioned. Although we're in the early stages of analyzing and developing specific roadmaps and action plans, which will be flushed out over the next couple of months, you have key -- you have good, I would say, line of the site into the key seven tenets of the transformation. These include: pivoting to the more selective in areas where we want to participate emphasizing profitability, strategic fit and, I'd say, supporting our adjustment time and friendly business. This in the future will likely result in SS&M business for us to be smaller in the future. It's important to note that this will take some time to achieve as we reduce our coating activity. Secondly, looking to be more aggressive and leveraging the scale that we have in mechanisms, specifically in the recliners. Our recliners and mechanisms part of our portfolio are high-margin businesses and we live up to leverage the returns that we make there to generate growth in the future. We're also looking to do greater outsourcing. Our business is very vertically integrated. We have a number of processes that we could outsource and I think use low-tonnage [Indiscernible] as an example. We’re going to derisk the business, reduce the level of capital intensity we have in this business by outsourcing more of those types of processes. We also look to better leverage our Chinese facilities to supply products back to North America and Europe. And here again, we’d be in the back of that as part of our business. These are the things that ship well and it could return to China and can again reduce the capital intensity of our consolidation Seat Structures & Mechanisms business. And as I said, we are in the early stages of looking at potential restructuring activities, but our intent is to fund the restructuring initiatives that we have with the capital savings that we expect to generate in excess in that. As we shrink this business through lower coating activity and we get to the maturity of our new product launches, the CapEx requirements of the Seat Structures & Mechanisms will decline. If you look at the business today, Seat Structures & Mechanisms accounted for about 45% of our capital expenditure in 2017 and nearly 50% of our capital expenditure on a year-to-date basis. These for Seat Structures & Mechanisms are the high-water market as we plan – as we go forward into ’19 and ’20, the CapEx requirement of this business we do expect will trend lower. We’ve been pretty consistent in the past about saying that about $100 million per year would be a normative level of restructuring and we continue to believe that’s the case. Obviously, that money will largely be focused on the Seat Structures & Mechanisms business. The key takeaway I want to people have around restructuring is we don’t have a several hundred million dollar build that we’re looking at. This is something that is going to take some time to achieve and we think we can live within that $100 million a year number that we’ve committed to with the part of the spin-off in Johnson Controls. And then finally, there’s clearly an element of improved commercial discipline requirement, and by that I mean control of change management as these programs mature through the engineering phases and enhanced improvement in terms of our economic recoveries. We have good – we have a spectrum of economic recovery from zero risk to a lot of risk, and we need to change the paradigm that we have there and be much more less risk-exposed on material economics and the lag that we have in our business today. In the near term, as we’ve shown on Slide 5, we do expect the business to return to its pre-spend levels of profitability, which is a $300 million improvement versus where the business is today by 2020. I will tell you that our improvement is front-end loaded. We expect a significant element of $300 million improvement to happen in 2019. So it’s not back-end loaded like our previous Seat Structures & Mechanisms goals. In addition to the improvement that we expect in a consolidated business, and as I said before, we can expect to see continued strong growth in profitability from unconsolidated Chinese Seat Structures & Mechanisms businesses. Of our equity income, our China Seat Structures & Mechanisms’ equity income is about 10% of that total, rough about $40 million a year, and we expect to see this grow strongly over the next three or four years. As a result, if you look at Seat Structures & Mechanisms, we expect a combination of improved operating performance and lower capital expenditures to drive significantly higher cash generation. We know there’s a lot of focus on our Seat Structures & Mechanisms business and I think we indicated that during our last call that we will be participating in the Wells Fargo Industrial Conference next week and we have plan to further elaborate on Seat Structures & Mechanisms and we’re doing with that business. With that, I’ll turn it over for Jeff to talk about the financial results in more detail.
Jeffrey Stafeil: Great. Thanks, Bruce. Good morning, everyone. Turning to our financial performance. As Bruce stated in his remarks, Adient’s second quarter results are unacceptable but generally consistent to what we outlined in January. Although we saw positive sequential improvements in the SS&M business in the most recent quarter versus Q1, the company faced increasing pressures in other areas of the business. More on that in a minute. As you can see on Slide 11, the headwinds with SS&M combines with weakness in Interiors in a significant – had a significant impact on our results. In addition, a onetime non-cash goodwill impairment charge resulting from our segment realignment, specifically Adient SS&M segment, also impacted our GAAP results for the quarter. Adhering to our typical, the page is formatted with our reported results in the left and our adjusted results in the right side. We will focus our commentary on the adjusted results. These adjusted numbers exclude various items that we view as either onetime in nature or otherwise view as important trend in the underlying performance. For the quarter, the net $279 million non-cash goodwill impairment charge was the largest special item. Other adjustments related to coming Adient restructuring-related charges and purchase accounting amortization. Just one additional point before I move on. I’d like to point out that with regard to realignments of our reportable segment, the company has begun to assess the performance of a reportable segment using adjusted EBITDA. As stated on prior calls, given the amounts of growth investments and capital expenditures planned in the coming years, we view adjusted EBITDA and CapEx by segment as more meaningful measures versus adjusted EBIT. You'll find disclosures of CapEx by segment and thus be able to see key figures for each segment of greater transparency than in the past. Moving on, adjusted EBITDA of $363 million fell $58 million year-over-year, more than explained by the operating performance within the SS&M and Interior segments. Meanwhile, adjusted equity income for the quarter was down $1 million compared with the same period last year. As I just mentioned, weakness in YFAI was primary driver, with a partial offset in our non-consolidated Seating business. Finally, adjusted net income and EPS were down 25% year-over-year at $173 million and $1.85, respectively. While sales are tracking better versus planned, we continued to phase operational and execution challenges primarily in our Seat Structures & Mechanisms business. Now let's break down our second quarter results in more detail, starting with revenue on slide 12. We reported consolidated sales of $4.6 million, an increase of $395 million compared to the same period a year ago. Benefits of the Futuris acquisition and China JV consolidation more than offset the negative impact of lower volumes, primarily in the North America. In addition, foreign exchange had a positive impact on our sales this quarter compared to the same period last year by approximately $285 million. The primary driver was the euro, as the euro's USD rate averaged $1.25 in Q2 versus $1.07 last year. Moving on. With regards to Adient's unconsolidated revenue, growth remained strong. Unconsolidated Seating revenue, driven primarily through our strategic JV network in China, grew about 12% year-on-year. Adjusting for FX and the China JV that is now consolidated, sales were up about 8%. A very good outcome especially when you consider production in China during the quarter was down 3%. Unconsolidated Interiors recognized through our 30% ownership stake in Yanfeng Automotive Interiors, or YFAI, also experienced year-on-year sales growth. Adjusted for FX, interior sales were up approximately 3% in Q2 versus the year ago. Although up year-on-year, I'll point out that the increase in sales was driven by high mix with low-margin cockpit sales, excluding the FX in the low-margin cockpit sales, overall sales were down 2%. Moving to Slide 13, we provide a bridge of adjusted EBITDA to show the performance of our segments between periods. The bucket labeled Corporate are segment cost that are not allocated back to the operations. These core costs include our executive office, communications, corporate finance, legal and marketing. A big picture, adjusted EBITDA fell to $363 million in the current quarter versus last year. The corresponding margins related to the $363 million of adjusted EBITDA was 7.9%, down approximately 210 basis points versus Q2 last year. Weaknesses in our SS&M and Interiors businesses could not be fully offset by benefits associated with the Futuris acquisition and the JV consolidations of around $29 million and additional improvements in SG&A, call it $43 million. Similar to comments I made in the first quarter call, I’ll point that a portion of the SG&A improvements made in the current quarter should we viewed as temporary, as certain of the near-term actions we’re taking, such as extremely tight control over discretionary spending or taking down our bonus accruals, will not be part of the run rate of the business going forward. Assuming we would be at plan or target performance, anticipate that our SG&A expense would have been approximately $20 million higher for the quarter. With regard to Interiors and consistent with our internal forecast and comments made on our Q1 earnings call in January, the headwinds impacting YFAI intensified in Q2. The year-over-year decline was driven by a combination of factors, such as lower volume in North America, a higher concentration of low-margin cockpit sales and operational issues that are being worked through in Europe and the US. We will continue to work with our partners to identify areas to improve profitability. Our latest forecast assumes Q2 as the low point in profitability this year with second half results improving versus the first half. Before moving to our segment discussion, let me note that we incurred approximately $7 million of cost in the quarter related to a third-party assessment of our SS&M business, but we excluded this charge in calculating our adjusted results. We expect the effort to finish in Q3 with the bulk of the expense was booked in this past quarter. The initiative was intended to provide a look at the strategic importance of the business and the necessary and strategic shift we need to make for the long term to make it economic profit. This work assisting in arriving the strategy we discussed earlier. As the cost to complete the study were one time in mature and related to the eventual restructuring of this business, we opted to exclude it from our reoccurring numbers. Moving forward, and in an effort to provide greater transparency into our Seating and SS&M segments, slides 14 and 15 show the key drivers between periods. Starting with Seating on Slide 14. Adjusted EBITDA increased to $411 million, up $13 million compared to the same period a year ago. The primary drivers between the periods include: benefits associated with the Futuris acquisition and the China JV consolidation that occurred late last year and contributed about $29 million, of which Futuris was approximately $15 million. Other benefits associated with SG&A savings initiatives, along with our incentive comp reduction, had a $22 million impact in the most recent quarter. Currency movements had an approximate $26 million benefit in Q2 this year versus the same period last year. And finally, equity income was up about $6 million, excluding the impact of foreign exchange. These results include an approximate $4 million reduction relating to the China JV that we now consolidated. Partial offset to these benefits included: a higher level of investment to support Adient’s future growth, call it $36 million; the increased engineering resources; program managers and increased launch activity supports our new business wins, which, as you know, are initiated two to three years in advance production. Regarding investment spending for Adient Aerospace. The announced joint venture with Boeing included in our Seating segment is tracking lower for the year versus our original estimates. We expect investment for this business will accelerate once all the regulatory approvals are secured when the business is operational, which we are expecting later this summer. Moving on. Lower volumes and negative mix, primarily in North America, accounted for $20 million the year-on-year variance. And finally, we saw a negative operating performance of approximately $14 million, primarily in North America, due to inefficiencies associated with the high level of launch activity. Net commodity costs, specifically the foam chemical market, increased $10 million in the quarter versus last year. However, this was largely offset by other material improvements. And one last point in Seating. One of the reasons we have moved to adjusted EBITDA is provide more cash flow transparency, and we'll continue to do that by segments. While CapEx can be lumpy within the periods and we want to suggest that you attempt to annualize any quarter, we did say that's a useful metric to provide. As such, our CapEx for the Seating business was approximately $58 million in the quarter. Turning to Slide 15 and our SS&M segment performance. Despite including sequentially versus Q1 2018, adjusted EBITDA was negative $34 million or $74 million lower than Q2 2017. The primary drivers between Q2 this year and last year second quarter include an $8 million improvement in SG&A plus approximately $3 million contribution from higher sales. However, this was well more than offset by a significant drop in operating performance of approximately $61 million, which includes the issues we've talked about in recent communications. While we've seen nice improvements versus the first quarter, we are still suffering from launching efficiencies such as premium freight and significant operational waste. As Bruce discussed earlier, we are seeing significant monthly improvements, but as we've explained, the safety critical nature of the SS&M business requires the most improvements and changes happen incrementally. But the team is making good progress. Commodity inflation hurt performance by $9 million but was offset, or partially offset, by $4 million of favorable FX. And finally, we incurred $19 million of other items in the quarter, driven primarily by unfavorable material mix, higher engineering and net pricing. Regarding SS&M's CapEx for the quarter, they spent approximately $65 million. As Bruce discussed on Slide 7, the SS&M business made positive progress in the first quarter results. We expect the positive trend to continue into second half of the year resulting in the second half results being significantly improved versus the first half performance. It's important to remember as the business goes through deep operational setback and begins to stabilize and improve, various internal or external influences can result in choppy performance quarter to quarter. So in other words, I just like to emphasize this is a very difficult business to forecast at the moment. Let me now shift to our cash and capital structure on Slide 16. On the left side of the page, we break down our cash flow. Adjusted free cash flow, defined as operating profit -- or excuse me, defined as operating cash flow less CapEx, was a negative $146 million for the quarter. The outflow reflects the negative year-on-year operating performance, increased cash restructuring and negative trade working capital performance. Partially offsetting these factors included an increased in dividends received from our joint ventures compared to Q2 of last year. Speaking of cash received from our joint ventures and similar to last year, a large percentage of the dividends are received in the second half of our fiscal year. Capital expenditures for the quarter were $123 million compared with $95 million last year. The increased spend year-on-year is in support of our new business wins. As you can see in the footnote, we do break out CapEx by segment. Regarding the increase in working capital, we expect some of this to unwind in the back half of the year. We have significant planned collections of tooling receivables, for example, and have a number of initiatives ongoing to improve this metric. In summary, our free cash flow performance for the first half of the year reflects the operating challenges the business faced. As the environment continues to improve, we expect significant improvement in our free cash flow as well. On the right-hand side of the page, we detail our cash and leverage position. On March 31, 2018, we ended the quarter with $353 million in cash and cash equivalents. Gross debt and net debt totaled $3.678 billion and $3.325 billion respectively at March 31, 2018. As a result of our cash balance, debt levels and operating performance, Adient’s net leverage ratio at March 31, 2018, was 2.3 times. It’s important to remember that the Futuris acquisition is providing only half-a-year benefit to the LTM EBITDA, whereas the entire purchase price is obviously come out of the debt figures. Turning to Slide 17, let me comment on certain of the macro-influences that are impacting the business. Starting with positives. Global automotive demand remains strong and as a result appears to be supportive of current production levels and forecast, which are estimated to increase modestly in 2018 versus last year. In addition, the continued shift in trucks and SUVs remain a nice tailwind for content growth. Definitely good news for the industry and Adient. Unfortunately, there are a number of downward pressures that have intensified over the course of the quarter, specifically commodities, both steel and foam-related chemical, rising freight cost and uncertainty related to trade. First on steel. As you have read, the steel and aluminum tariffs that were imposed by the US created a great deal of uncertainty through the industry when first announced. [Indiscernible] ease as detailed emerged in various country exemptions were allowed. We’re adding specifically the tariff itself is not the big risk as very little of our US steel is sourced offshore. Our primary risk is the rapid escalation of prices in US mills. To put this in context, prices have increased closed to $200 per ton since January. Although we have escalators and time tracks in place to help offset these price movements, it’s important to remember a timeline, call it a couple of quarters, exist between the time we experience the price increase and the reinvestment from our customer occurs. Sticking with commodities, adding continues to be impacted by increases in TDI prices or chemical business, which was driven up global-type apply, our latest outlook continues to forecast in moderation and pricing in mid-2018 as production at the European facility is brought online. In addition to commodities, we are also managing right in freight cost, driven by driver storages and the full impact of region inflation. Unfortunately, this does not appear to be temporary as such the team is focused on operational logistics, inventory management to limit and mitigate our exposure. Finally, we continue to monitor trade negotiations that are currently taking place. We’re hopeful that US and China can avoid the implementation of additional US-proposed duties, which if implemented would negatively impact the industry, including Adient. As the negotiations continue to progress with a latest US proposal, turning to be neutral for the company. Bottom line is, by the company’s efforts to mitigate these challenges, the intensified macro headwinds are placing downward pressure on earnings resulting in a very challenging environment, especially when combined with some of our operator challenges. Turning to Slide 18, let me conclude with our thoughts on the remainder of fiscal 2018. Starting with revenue. Given our first half performance and the assumptions for foreign exchange, our consolidated revenue is trending towards the top end of our guidance of $17.0 billion to $17.2 billion and possibly a bit higher. With regards to adjusted EBITDA, after factoring in our first half performance, the improvements in SS&M that are expected in the first half and the increased macro pressure just discussed, we’re expecting fiscal '18 will settled towards the low end of our guidance range, which is between the $1.40 billion or $1.45 billion. We continue to expect equity income will be approximately $400 million, which is included in the adjusted EBITDA estimate. As mentioned earlier, the performance of YFAI is expected to improve as we progress through the second half of the year. Moving to adjusted EBIT. And similar to adjusted EBITDA, we are expect to settle the lower end of the $975 million to $1.025 billion range. For modeling purposes, given our increased growth investments, depreciation is still tracking towards our initial guide of $385 million. With regard to interest, no change to our approximately $135 million forecasts. Moving on to taxes, based on the geographic composition of our earnings, we continue to expect an effective tax rate of between 8% and 9% for the year. Given that we are recording deferred tax assets as a result of net operating losses in certain jurisdictions, there is a risk that we may have to record a valuation allowance, if the business outlook remains negative. Recording such a valuation allowance could significantly increase our tax expense, or booked tax expense, but wouldn’t have any immediate impact on our cash taxes paid. For net income and aligned with our expectations for operating results, we're expecting our adjusted net income will settle towards the lower end of $700 million to $740 million range. Although current expectations for capital expenditures are consistent with previous guidance of between $575 million and $600 million, the team continues to assess various opportunities that may reduce or recalenderize plan of spend. Finally, with regard to free cash flow. Based on our operating performance in the first half of the year and our expectations for the second half of 2018, we see some risks in the outlook, largely depending on our operational improvements and working capital initiatives. It's important to point out that working capital timing and the calendar date on which quarter-end could have a dramatic impact. For example, a one day increase in our AR days combined with a one day reduction in our AP days would have an approximate $80 million impact on our cash balance. Both sides adjust, looking at the components of our free cash flow over time and somewhat it’s neutralizing the impact of working capital changes from one period to the next. In summary, and as I mentioned earlier, we are operating in an environment that is difficult to forecast. Much depended on the cadence for the change and improvements being implemented in our Seat Structures & Mechanisms Group, in addition we are also in the midst of significant commodity inflation and some operational challenges in North America related to our core Seating segment. While we see and forecast significant opportunities to improve our performance, I characterize our 2018 guidance as having more downside risk than upside opportunities. That said, we will continue to push the improvement initiatives across the business. With that, let's move to the question-and-answer portion of the call. Operator, can you please open up the line?
A - Mark Oswald: Lee, can we have the first question, please?
Operator: [Operator Instructions] And our first question is from John Murphy of Bank of America Merrill Lynch, your line is open.
John Murphy : Good morning, guys. Just a question as we think about what’s going on with the Structures & Mechanism business here. I mean, do you think there is something else going on just as far as sort of the accounting or reporting structure in a company that where this kind of crept up on you quickly and you don’t necessarily have the greatest handle on it to-date you’re bringing outside folks and the separation from JCI may have filed up systems? Or is there something like that going on in the background that’s also being worked on?
Jeffrey Stafeil: Certainly not on our actual results, John. I would characterize graph some of the visibility that we have is certainly limited and it is really around the new launches though. So I wouldn’t necessarily put it to our accounting systems and more sort of our ability to forecast through those launches was -- certainly characteristic is the problem.
John Murphy : Okay. And then the second question. When you think about the business in China, it sounds like that’s working very well. I mean, I’m sorry, Structure and Mechanisms. So what’s going on there that it’s working so well, that’s not working in the rest of the businesses? Is it really just launches? Or is there some other thing that is greenfield-ing this and ramping it up that is you kind of learned from mistakes in the other side?
Bruce McDonald: Yeah. This is Bruce here, John. A few things. First of all, our China business, we started from a clean sheet of paper. So we don’t have old-generation product and new-generation products. So that’s number one. Secondly, it has the to-be manufacturing process that we want to have in place. A big one, though, is business that has much better job managing launches and it has a much smaller or less complicated supply chain, I would say. So if you can think about our Shanghai-based metals operations, it’s -- we’re building right now a second facility. It’s going to be 200 million -- 2 million square feet facility metal and sort of structures and mechanisms. And so they’re sort of collocated on one site, which is we tend to ship mechanisms from Europe and all over the world tracked Mexico up to North America. So they were much simpler supply chain. And then the last thing I would point to is if you looked at the mechanisms, the percentage of high-margin mechanisms -- as I said on my call, we want to emphasize the mechanisms more, the margins are higher in that business. And if you will look at the share of mechanisms that we have in China versus this year of mechanisms that we have outside of China, it would be much higher skewed to that higher margin product.
John Murphy : Okay. And then just lastly. I mean, if you think about coating activity, I mean, there was an assumption that the backlog would build and growth will grow very significantly as you we got to ’19 -- calendar year ’19 or fiscal year ’19 plus. Is that still the case? And it has any of the -- any of these take-ups really impacted sort of your competitive position in end of the first coating activity?
Bruce McDonald: Yeah, I would say, when we’ve looked at our original investments pieces, I think our Seat Structures & Mechanisms business -- and again I'm talking excluding China here -- was about $1.8 billion, and we thought that we were going to grow that from the spin-off to 2020 to be able to $3.5 billion, say about 25% growth. Right now we would say we're probably going, it's going to be more like flat versus where it’s starting at 2.8 or 2.9, something like that. So we've as a result of this review that we've done some prior to the end of the first quarter, we've cut back on some of the new business coating activity that we had. And I would say focused in more on customers supporting our -- business and closing on customers where the pure economics profile is better. And I guess what I would say is, if you look at the pure economics, here in North America the risk sharing tends to be better than in Europe, and I'm just talking in aggregate here because there is outliars on both size. But I would just say the environment recovering yield economics in North America is better and quicker. And so we -- as a result of kind of look at where we're going forward here, we will be focus more on saying on North America book of business in last month on outside of North America.
John Murphy : And Bruce, just a follow-up on that, though. I mean outside of the SS&M business, in Seating and Interiors, has there been any change in sort of your view on what your coating on and what you've been awarded or how you would be awarded. Is that totally separate and not sort of conjoined with the problems in SS&M.
Bruce McDonald: Yeah, I would say SS&M problems are have not affected our coating activity or our customer issues. I mean we've had challenges in SS&M and I would tell you that we as an expense of our balance sheet our income statement I'd say we've protected our customers by enlarge.
Operator: Thank you. And the next question is from Emmanuel Rosner of Guggenheim. Your line is open.
Emmanuel Rosner: Hi, good morning. So wanted to ask you about some of those strategic actions that’s you're potentially conflicting beyond sort of just stabilizing the mills business. What's sort of like timeline and can we envisage for that? Can you just be lower coating activity? Or can you actually proactively look to exit some of the contracts?
Bruce McDonald: It's difficult for us to -- first of all, I guess it's just [Indiscernible] that our business times for any centers. This is the timeframe for the programs is longer. I mean, we're as large someone as we look to the seating program with the customer. Option metals part of it last two cycles maybe more. So the timeframes are long here. Secondly, as this is obviously safety critical component. It's highly engineered and specific to the customer. And so the ability to sort of, cut from the resource that is very difficult, so it’s not like we can go and get back a whole bunch of business is there ability that we’ve been awarded that we have an opportunity for you, guys, but it bounced some but not like, it’s not a big thing that we can do is a short period that we were moving -. And if you look at our manufacturing footprint that we have, it’s pretty good. So we aren’t sitting here with the problem – well, our problem is we got a bunch of high-cost plant and let’s spend several 100 million dollars closing down Western European footprint and moving it to lower-cost Eastern Europe or closing in North America here and moving it down to Mexico or stuff like that. That opportunity – again, I wouldn’t say there is none of it but it’s not a big opportunity for us. I think our restructuring manual will be if where we’re not coating replacement business and we have to take out some sales of these plant. Again, I would remind people aren’t content customer focused really unlike our jet business roughly were to exit something we can close the whole plant. Here you’re talking downsizing a portion of a plant. We see the restructuring things like we’re looking at to be in that category, and also – and I talked about exiting out some lower, some of our vertical integration like small tonnage and things like that. So the restructuring is not going to be - this many dot.com in the app and when we see a whole bunch of closures. Maybe there is we can sell some component plant that supply to our other components plant, but that’s the kind of thing that we’re talking – restructuring. I mean I saw there is a one analyst report out there that has you know several hundreds million, I think $700 million-type number. We don’t see anything. There is no opportunity of anything like that.
Emmanuel Rosner: Okay, that’s helpful. And then my follow-up would be -- so when you sort of first signal the issues in this business, you have said you served like picked the quarter just to figure the things out and then the 2020 outlook. I think one of the considerations with into look into beyond dress – what do in here was are there any other buckets of savings that can serve like help you get closer to the 2020 target. After sort of looking at it for like the last few months or so, hat I guess where were your findings because are there any additional savings beyond what was sort of initially signaled in other areas of the business that’s possible?
Jeffrey Stafeil: Yeah, I mean if you think about our regional target, it was kind of 200 basis points, excluding equity income right? And so I would say the equity income there is probably more opportunities but that’s sort of counts in the margin expansion goals. And as we look to not just a Seat Structures and Mechanisms as a give you an example, you know when we started off spin off you now our equity income in the seat structure of mechanisms was 10 or 15 million, it’s up to like 40ish million this year and if you sort of fast forward to let’s say 2022 with ’90 year or million. “ Or something like that. So our China business in metals doing very well, but again that doesn't really help us in that in the goal that we’ve set [Indiscernible] before. There are some pockets of pluses and minuses elsewhere. I think we're probably peak at where we need to be for investment point of view. So that's sort of minus amount I think will kind a get better as we get into '19 or '20. But we thought it is important right now as what we had $300 million net back in approximately metal. It's going to be smaller than it has going forward, which means it's going to generate more cash. So think about the margin expansion we also don't have capital intensity in the business to be a higher. And at the end of the day, can we improve our metals process by running the business better, been more selecting coating. Absolutely there is a huge improvement we can generate here over the next couple of years we're not saying by 2020 we're done, because we have seen more opportunity beyond 2020 just for a trying to reference back to what we said by 2020 for what we said we see now I think it's a big improvement but we can't get there.
Emmanuel Rosner: I appreciate the color.
Unidentified Company Representative : Okay thanks. Thanks.
Operator: Thank you. And the next question is from David of Wells Fargo. Your line is open.
Unidentified Analyst: Hi, good morning, everyone. Just quickly. Can you go into a little bit more of these detail on the operational issues that you're I think facing in on the interior side. And then on the SS&M side of the business, the $300 million improvement through 2020. What are the major buckets of improvement that you guys forecast? Thank you.
Bruce McDonald: Maybe I'll take the interiors and then I'll let Byron talk about the SS&M business. The Interior's business, we mentioned this is another part. We owned 30% of the interiors operation as you with the --. And that business is global. I think sometimes here is referenced a lot of the China business, but it's really important to remember that a lot of the sales would half or about half of them occurred outside of China. There is a number of new facilities, new programs and some other things that have been launching at that business. So it's been growing. And I think a lot of where there are issues that's baked this in similar to some of the issues we face is getting labor in places like Eastern Europe, big labor shortages in Eastern Europe. And that I think have for -- whole groups from Magnolia to come in and plans in the Czech Republic that is just absent to available to do the working facility. So that's been a little bit there, there is been some startup of new plants in North America. So I think good programs, I think generally good results or good momentum in that YFAI business, but definitely going threw to a little bit of growing pain as they're expanding.
Unidentified Analyst: But just to follow up on that. So the cost issues there are more isolated and can be more readily overcome or not. I mean quickly hear started to be like SS&M right. No, I mean this business, and we just think that probably for this business, or for the YFAI business this last quarter should have been sort of their low-market should be getting better. As you look at SS&M, one thing just remember is how capital intensive. We broke out CapEx. We're setting half our capital there. It's hugely safety critical, making changes to processes, design, et cetera require all kinds of testing, validation, approval and even changing materials require significant amount of time. The interior is much more a cosmetic set up and the approval was in making changes is a lot easier. And then we‘ll again talk to you guys for the 300 million.
Bruce McDonald: Yeah, in terms of one of the big components there, I would start with launch stability. So we’ve I think shared with the group here that we struggled to a number of critical launches. We now have most of those issues behind, we have good line of sight of the upcoming launches and the what we would gain kind of high risk and those are the ones that are focused on have the right resources to make sure that those launch is still of as planned. And then one of the drivers when we get into difficult launches I’ll just give you one statistic around premium freight. So we’ve spent over 41 gallons of premium freight in the first half of the year. So as those launches come in more stable that’s more a line item that we’ll see improvements there. Steel supply has been a big challenge for us. The first half of the year particularly some of the specialty that are required for our mechanisms. We had a real gap and our supply versus our demand, so that drove a lot of inefficiencies as well as premium freight. We now have the steel supply issue fixed, so we‘ll have better and more consistent flow of raw material and to our mechanism plant, that’s going to drive in plant improvements and better machine utilization, longer runs and ultimately again what - the premium freight topic. Engineering cost is another area where we’ll see improvements in lower cost again as a lot of these launches get behind us, and as we have a more targeted approach in terms of new business acquisition, those cost will come down as well. So that was, we’re beginning to see those and we’re seeing that in the results Q2 versus Q1. And as we looked forward into the second half of the year, we expect those improvements to continue.
Unidentified Analyst : Thank you.
Mark Oswald: Operator, we‘ll take one more question, and then if we can turn it back to Bruce for his closing remarks, that would be great.
Operator: And the next and the last question is from David Tamberrino of Goldman Sachs. Your line is open.
David Tamberrino: Great. Good morning. And, Bruce, thanks for reading the research. Slide 5 seems to imply a flat consolidated EBITDA margin in 2020 versus the LTM mid-year, mid-2016 level. Just trying to understand is that what the guide is now for 2020? Or do you think you can come and feel better from this from an incremental SG&A savings? I know in the past you’ve kind of talked about potentially shifting around that bucket and just it wasn’t clear to us whether 2020 is now kind of just flat with where we started or slightly above that level? How should we think about it?
Bruce McDonald:
– :
David Tamberrino: And that's fair. But if I were to try to put some quantitative metrics to that qualifying language. We talking kind of in the 0 to 100 basis points or 50 to 100 basis points range? Or is that too high of potential opportunities?
Bruce McDonald: I'd say there is -- and there is a lot of things that have to be worked out, David. But certainly probably more in the 50 to 100 basis points would be where we would see this without some sort of structural change to what we have today in particular on the Seat Structures & Mechanism.
Jeffrey Stafeil: In this timeframe.
Bruce McDonald: Yeah, in this timeframe. Beyond 2020, there is more opportunities, but that timeframe, that's probably all…
Jeffrey Stafeil: And I think, David, it's kind, you can kind a say, “Hey, if I have another four years left with where do I kind a get back there versus what we do on the next two years?” And we're trying to, we also have tactics or walk away from your commitment, but we're trying to be transparent in terms of what we think we can do in this timeframe, what was not doing right now and I want to caution that as because, as I said in my remarks, we're still looking at some of these longer-term thinking about outsourcing utilization in China [Indiscernible] non-selective restructuring et cetera, et cetera. So not in a position to kind a say clearly the timeframe that we had, and as I'm sure you can appreciate, there is an awful lot of focus on the short term and sort of getting out of the clap that we're in right now. But in the timeframe that we have, we have, we are done in 3 months to say, “Okay, here is what you see yourselves into 2022.” Yeah, that's -- I mean the answer you like to hear, but that's kind of where it is.
David Tamberrino: No, that's incredibly helpful. And look, I think most investors understand what the position is just looking for how you're thinking about it today versus just to be flatter now. So the 50 to 100 was extremely helpful. And just lastly from us. Do you see any risk to any potential market share losses as you complete some of the exits of the SS&M business? Is there risk of losing some of the marque products that you're on assets comes to that? I know we heard from some other seasoned suppliers that there could be an opportunity for them as a result of this -- as a result of your operational issues at this juncture.
Bruce McDonald: Yeah. I guess I would tell you -- I mean obviously when we look at this business and what we want to do in terms of coating or exiting or things like that, I mean for sure we're going to look at how it reflects on our customer position in the aggregate. So we're not going to do stupid in the Seat Structures & Mechanisms business that's have huge and aggregate impact on our global business with our customer. So we did -- our customer, especially in the metals business our customers do tend to source global structures. And so we have not -- and that's another thing that for sure we have to take into consideration. So we're going to -- we're just got to be mindful and sort of do the right thing here. So maybe I don't we're kind over at times. So maybe just make a few closing comments here. I mean clearly we recognized that the first half results are disappointing. It’s not the way we look to start this year. On the other hand, being balance here, we are pretty encouraged with the improvement that we’ve made here quarter over quarter from Q1 in terms of Seat Structures & Mechanisms. I think we’ve outlined a number of tenants that were focused on to create value in the Seat Structures & Mechanisms, and I think these building blocks, if you sort of think back, it’s transforming our Seat Structures & Mechanisms not only recapturing the loss profit since the spin but little bit in the segment smaller behind 2020 with smaller less capital intensive and much more profitable in cash generation. Clearly, we have an absolutely end of the industry position in our businesses in China. We’re moving from strength-to-strength. I think if you just look at the quarter, our China production and have seen numbers down 2%. We had up 12% in terms of our revenue there which just sort of demonstrates the strength of the partnerships that we have there and the performance of our business there that we’re able to continue to build on a strong topline growth in a flattish production environment. We do have a backlog that we’ve build up and we expect to see topline growth, again, here in ’19 and beyond. And then lastly, we are -- once we start to trend the capital intensity of the Seat Structures & Mechanisms as we get some of the cost that’s becoming Adient as restructuring trends back to sort of the $100 million nominal-type level, we do expect to see significant step up in free cash flow generation beyond 2018. So we’re pretty obviously a lot of our time is spend on the challenges that we have today, but we’re pretty encouraged and excited that we’re getting through those with significant opportunities ahead. And we look forward to seeing many of you in the next week. I know we’ve felt like dinner and we’re reaching out to all of our big shareholders next week. So I appreciate the interest in Adient, and thank you very much for attending our call today.
David Tamberrino: Thank you.
Operator: Thank you, everyone. And that concludes today’s conference call. Thank you all for joining. You may disconnect at this time.